Operator: Hello and welcome to the Dorian LPG Second Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. Additionally, a live audio webcast of today’s conference call is available on Dorian LPG’s website, which is www.dorianlpg.com. I would now like to turn the conference over to Ted Young, Chief Financial Officer. Thank you, Mr. Young. Please go ahead.
Ted Young: Thank you, Nicky. Good morning and thank you all for joining us for our second quarter 2025 results conference call. With me today are John Hadjipateras, Chairman, President and CEO of Dorian LPG Limited; John Lycouris, Head of Energy Transition; and Tim Hansen, Chief Commercial Officer. As a reminder, this conference call webcast and a replay of this call will be available through November 7, 2024. Many of our remarks today contain forward-looking statements based on current expectations. These statements may often be identified with words such as expect, anticipate, believe, or similar indications of future expectations. Although we believe that such forward-looking statements are reasonable, we cannot assure you that any forward-looking statements will prove to be correct. These forward-looking statements are subject to known and unknown risks and uncertainties and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove to be incorrect, actual results may vary materially from those we express today. Additionally, let me refer you to our unaudited results for the period ended September 30, 2024 that were filed this morning on Form 10-Q. In addition, please refer to our previous filings on Form 10-K where you’ll find risk factors that could cause actual results to differ materially from these forward-looking statements. With that, I’ll turn over the call to John Hadjipateras.
John Hadjipateras: Good morning and Happy Halloween. Thank you for joining us. Our Board continues to be committed to returning value to our shareholders, while retaining commercial flexibility, ensuring a strong balance sheet and the ability to invest in optimization and decarbonization initiatives. This is reflected in our capital allocation policy under which after paying out our recently declared dividend of $1 per share, we will have returned over $820 million to our shareholders since our IPO. We had a solid quarter despite a freight market, which felt the brunt of weather-related disruptions on LPG exports. For the quarter ending September 31, our EBITDA was $46.2 million and net income was $9.4 million. Our net debt to total capitalization remains at about 14%. We feel well positioned to take advantage of opportunities for investments. Ted will give you details and answers to any questions you may have on our quarter’s financial results. VLGC freight rates started the quarter on a high note, but this initial strength was followed by a period of softening through mid-quarter. Despite a very healthy arbitrage between U.S. and Asian LPG prices, the VLGC freight market was hit with an unusual combination of forces that created temporary length in the market and weighed on rates. Tim will provide you greater details in his comments. We are optimistic about near and mid-term market prospects ahead of seasonally strong winter period. Recent volatility illustrates that the market is near equilibrium, where disruptions cause sharp and up and down moves. In the short-term, Canal is likely to gain more traffic from container and LNG ships in the coming months. And an example of the midterm positive is terminal expansion projects, the first of which is slated to finish in the second half of 2026 and subsequent 2 years will provide ample capacity to accommodate production and export growth. The Helios LPG pool is performing well and our mix of scrubber LPG dual fuel and Panama VLGCs, allows us to take advantage of favorable fewer prices and to offer commercial flexibility to our customers. We have 1 VLGC/VLAC delivering in 2026 and will retrofit some of our existing ships to be able to carry ammonia. We already have the Captain John NP on the water, which is fully ammonia capable. Our feeling is that the current order book is sufficient and further ordering needs to be restrained until the green ammonia trade develops. We are pleased to announce the addition of an eighth board member, Mr. Mark Ross earlier stepped down – earlier this year, stepped down from his position as President of Chevron Shipping after 9 years in that role and 34 years at Chevron, Mark’s knowledge of the global energy and shipping markets will contribute a valuable perspective. And we’re proud to welcome him to the Dorian team. As always, I acknowledge our dedicated seafarers and shore side staff whose hard work and dedication make our results possible. And now I’d like to hand over to Ted.
Ted Young: Thanks. My comments today will focus on capital allocation, our financial position and liquidity and our unaudited second quarter results. At September 30, 2024, we reported $348.6 million of free cash, which was virtually flat from the previous quarter. Cash flow for the quarter reflected the $42.8 million irregular dividend, which implies cash flow to equity of $44 million. As disclosed last week, we will pay another $1 per shares in irregular dividend or roughly $43 million in total on or about November 25, 2024 to shareholders of record as of November 5. The debt balance at quarter end of $583.7 million, our debt to total book capitalization stood at 34.9%, and with our strong cash balance, net debt to total cap at 13.4%. With well structured and attractively priced debt capital, our current all-in debt cost by the way is about 4.7% and undrawn $50 million revolver and 1 debt-free vessel coupled with our strong free cash balance, we have a comfortable measure of financial flexibility. We expect our cash cost per day for the remainder of the coming year to be approximately $26,000 per day, excluding capital expenditures for dry docking and scrubbers. For the discussion of our second quarter results, you may find it useful to refer to the investor highlights slides posted this morning on our website. I’d also remind you that my remarks will include a number of terms such as TCE available days and adjusted EBITDA. Please refer to our filings for the definitions of those terms. I’d also like to point out that we have slightly amended our disclosures around fleet employment. Specifically, we have amended our definition of available days to reflect unscheduled off-hire, which was formally picked up in the calculation of operating days. We now define available days as calendar days minus scheduled and unscheduled off-hire. This approach is consistent with how the Helios pool reports and is more consistent with industry practice. We will no longer report operating days. Turning to our second quarter chartering results, we achieved TC revenue per available day of about $37,000 though sequentially lower than the prior quarter’s results, the TC still allowed us to generate over $40 million in free cash flow to equity for the quarter. As our entire spot trading program is conducted through the Helios pool it’s spot results that are reported are the best measure of our spot chartering performance. For the September 30 quarter, the Helios pool and the TCE of $38,019 per day for spot and COA voyages. On Page 4 of our investor highlights material, you can see that we have 5 Dorian vessels on time charter within the pool plus 1 MOL Energia vessel indicating spot exposure of about 80% to 30 vessels in the pool. Turning to the quarter ending December 31, 2024, we currently estimate that we have fixed just over 60% of the available days in the quarter at a TC in excess of 40,000 per day. That rate includes both spot fixtures and time charters in the Helios pool only. Given the difficulty in predicting loading dates, which obviously have a huge effect on revenue recognition, this port options in some charters and the fact that our COAs were priced on average Baltic rates, the estimates we quote during these calls and the rates actually realized can vary. Daily OpEx for the quarter was $9,767, excluding dry docking related expenses which was down meaningfully from the prior quarter’s $10,618. Spares in stores and repairs and maintenance line items led to decrease. Our time chartering expense for the TCM vessels came in at $9.9 million or slightly less than $29,000 per day. Thus those vessels contributed nicely to our quarterly profits. Total G&A for the quarter was $16.5 million and cash G&A, as G&A excluding non-cash compensation expense, was $10.5 million. The $10.5 million included $4.1 million of cash bonuses that were paid during the quarter. Thus, our core G&A came in at $6.4 million, which is consistent with prior quarters in our general expectations. The high level of stock compensation expense was largely a function of the price on the grant date not an increase in shares granted. Our reported adjusted EBITDA was $46.2 million. Cash interest expense for the quarter was $7.1 million, again reflecting the heavily hedged and fixed nature of our various pieces of debt and our all-in cost of debt of sub 4.7%. For the current fiscal year, we have completed 3 dry dockings and anticipate dry docking 3 more of our vessels, including some upgrades. Year-to-date, we have incurred roughly $5 million in cash outlays for dry docking and we anticipate about $8 million through fiscal year end, which does include some payments for the dry docks already completed. Days and dry docks should be consistent with our disclosures. Although we currently hold a roughly 83% economic interest in Helios, we do not consolidate its P&L or balance sheet accounts, which has the effect of understanding our cash and working capital. Thus, we believe it is useful to provide some additional insight in order to give a more complete picture. As of Wednesday, October 30, 2024, the pool had roughly $22 million of cash on hand. The irregular dividend declared last week of $1 per share brings to $14.50 per share in our regular dividends that we have paid since September 2021. While many investors and analysts like to suggest that these dividends are no longer irregular, we underscore that they are indeed irregular and subject to a variety of factors that our Board considers and always remains at its discretion. VLGC rates are not regular and thus we don’t think our dividend policy should be either. Looking at our dividends in a more traditional context, our net income since June 30, 2021, the quarter immediately prior to our first irregular dividend has been approximately $612 million. While including the dividend to be paid later this or next month we have – we will have returned approximately $590 million of dividend. Note that that amount excludes the $230 million that we have returned through open market stock repurchases and the self tender offer. So, the $590 million compares favorably to the $612 million. In terms of cash flow to equity, that gap is much wider. Thus overall, we believe that we maintain a responsible and prudent balance between reinvestment and dividend payouts. We continue to be on the lookout for fleet renewal opportunities and we will continue to be judicious with our free cash flow, working to balance shareholder distributions, debt reduction and fleet investment. With that, I will turn – I will pass it over to Tim Hansen.
Tim Hansen: Thank you, Ted and good day everyone. The quarter ending September 30, 2024, saw a freight market challenged by external factors, complicating the product market and the shipping market alike. With the Hurricane Beryl occurring shortly after the Chile repairs of various U.S. Gulf terminals, Tropical Storm Alberto, and the severe reduction of congestion of the Panama Canal, that was seen in May and June, it was an unusual quarter. It showed a wide open arbitrage west to east or living room for the freight market to capitalize. This was due to the lengths, the investors’ availability and temporary limited export capacity. According to several brokers, July 2024 saw the lowest count of spot fixtures in the U.S. called for many years. The west to east arbitrage was attractive. For Hurricane Beryl and continued Chile capacity issues at some terminals reduced the slot availability at the terminals for loading. The short supply of spot FOB cargo saw terminal in fees increased dramatically and re-sales of cargoes FOBs also saw large sums exchanged. Ultimately, almost 0.5 million tons less export was seen in July. Delaying the correction that the market wanted to see since June, August saw, however a new record high for LPG export from the U.S. at about 6 million tons. Going a long way to clearing the backlog of VLGCs that has been building since June, the high level of fixing activity helped push the freight market outputs, but levels were capped by the long list – by the long position list and aggressive re-lift of challenge. It was also re-lifts in September that drove the U.S. to Far East via the sea market down to levels not seen since February 2024. The decisions made in September were mostly for Silver Lake cans. And like we saw in April 2024, it emerged that cargoes on Silver Lake cans can be $35 to $40 per metric tons a part depending on time of fixing. You can only be speculated on what drove some dramatic decision making in September, for those discounting the freight market. But it can be noted that there was uncertainty about how Hurricane Francine would impact the terminals in Texas and the Arab Gulf to Far East market was very weak at the time. Regarding the Arab Gulf, Far East market, it can be noted that for the entirety of the quarter, the focus of the spot markets was inquiries by Indian public sector on the takings PSUs. And while the activity was significant for the Indian trade, the data flows to the Far East makes setting the freight market difficult. At least for all of August and September, the East market trade is at significant discounts to the West market. Through the quarter – during the quarter exposed again the importance of the U.S. Gulf exports for the entire LPG market, they believe in the fundamentals of strong LPG demand in the Far East were never in doubt. North American LPG production continues to grow and no lower times more of the value within the supply chain can be taken by terminals rather than shipping. Opportunities afforded by the U.S. exports also proved sufficient to rebalance the market quickly. Our expectations remain positive for VLGC shipping based upon propane, remaining the competitive feedstock, additional PDH plant in China, forecast of more export growth from the North America and potential for seeing an increased congestion in the Panama Canal. Thank you. And with that, I will pass it over to Mr. John Lycouris.
John Lycouris: Thank you, Tim. In continuation of our commitment to sustainability, Dorian LPG strives to improve the energy efficiency of its vessels with a focus on operational and technical performance while continuing to follow and employ technological advances and innovations as they become commercially available in the marine sector. Our scrubber vessel savings for the third quarter of 2024 amounted to $2.17 million or about $1,962 per day net of all scrubber operating expenses. Fuel differentials between high sulfur fuel oil and low sulfur fuel oil averaged at $115 per metric ton, while the differential of LPG as fuel versus the low sulfur fuel oil stood at about $185 per metric ton, which is quite advantageous for the dual fuel LPG engine vessels. The total number of owned vessels fitted with scrubber units in our fleet is now 15, after having retrofitted another vessel in the last calendar quarter during this vessel’s regular drydocking window. The added advantage with scrubber fitted vessels is their eligibility for future installation of carbon capture modules. Marinized carbon capture modules present a significant opportunity for decarbonization. And we anticipate their adoption will become necessary in the medium-term as greenhouse gas emission regulations tighten significantly in the future. We have also completed the drydocking of two further vessels, including an ammonia as cargo upgrade for one of them. There is another ammonia as cargo upgrade for a vessel plan for drydocking by the end of this year. Upon completion of this last vessel, the Dorian LPG fleet will have three VLGC VLAC vessels capable for ammonia cargos in the water and one new building to be delivered in 2026. We anticipate an intensive schedule of drydockings this coming year and next for the global VLGC fleet. About 80 VLGCs were built in the 2015-2016 period. Most Dorian LPG vessels were built in 2015 and for those that have not yet drydocked, we would be looking to drydock and complete their second 5-year service cycle early this next year. The MEPC 82 took place at the IMR headquarters in London at the end of September and beginning of October. Some of the significant outcomes of the MEPC 82 were the adoption of amendments to the MARPOL Annex VI to give effect to the Canadian Arctic and the Norwegian Sea ECAs, emission control areas for SOx and NOx, and it is expected to enter into force on the 1st of March, 2026. There was also progression and refinement of the regulatory text for mid-term greenhouse gas measures and scheduling for a further intercessional greenhouse gas working group in February 2025. No formal decisions on future emission regulations were made at this MEPC meeting. The most reliable insight into the likely outcome of the next MEPC 83 in mid-2025 comes from the nature of the ongoing debate at the MEPC 82 floor. That discussion included detailed proposals and increasingly focused options for each of the following elements, which are well to wake and tank to wake for the greenhouse gas fuel intensity. Most of the discussion at the MEPC 82 was converging on a technical and on economic measure for emissions and the firm agreement for this mid-term decarbonization measures is expected at the next MEPC 83 meeting with enforcement starting in 2027. Wind-assisted ship propulsion system offers benefits within current and upcoming regulatory frameworks. In particular vessels equipped with WAPS is wind-assisted propulsion systems technology may qualify for the wind reward factor under [indiscernible] which effectively lowers the vessels calculated energy intensity and have vessels meet emission target while reducing their overall regulatory costs. Selecting WAPS technology that is both efficient and straightforward to install and operate can be a pivotal step in the energy transition, delivering a cost effective path forward reduce emissions and seamless regulatory compliance. And now I would like to pass it over to John Hadjipateras for his final comment.
John Hadjipateras: Thanks John. Thank you. We can take any questions, if anyone has any questions for us before, before we do, I would like to make a like to go back on a comment I made about the medium-term, medium-term optimism and amongst other factors, is based on two terminals, big terminal expansions that we can see. I said second half ‘26, but in fact the first is coming in the second half of 2025 with cargo and [ph] energy transfer up to 8 million tons, and this other one will be enterprise second half 2026 with 10 million to 15 million tons. Mickey, over to you.
Operator: [Operator Instructions] And we will take our first question from Omar Nokta with Jefferies. Please go ahead. Your line is open.
Omar Nokta: Thank you. Hey guys. Good morning. Couple of questions from my side and maybe John sort of on your last comments there and Ted, I know, you and I have spoken about this quite a bit, just regarding the VLGC, spot rates, what we have been seeing here recently, especially with what’s going on with U.S. terminal capacity. Obviously, capacity here near-term has been limited. That’s causing a jump in spot terminal fees, which in turn is compressing the export ARB [ph] and putting maybe a cap on freight rates at the moment. The expansion projects that come on next year and then in ‘26 look like that could start to loosen up and perhaps some of that tightness on the terminal side, so just wanted to ask, and maybe John, I guess you sort of hinted at it, but you just say some reasons for optimism as that capacity expands, do you think that that means we are perhaps in this soft patch for the next few quarters in which VLGC rates maybe not – they may not capture their historical ratio of that arbitrage, but then once those terminals expand, we can start to see the rates revert to their norms. And when I say norms, norms in relation to the ARB?
John Hadjipateras: Yes. I don’t really, to be honest. I think that the factors like the efficiency of the canal transits feature more prominently than the export capacity restriction. So, that’s kind of what I feel. I think that there is – with an ARB as open as it is, the reason we haven’t been able to capture it is more – it more to do with the absence of any kind of inefficiencies in fleet utilization, which is a feature what we – that we saw last year to a great extent, due to the Panama Canal transits. And I think it’s reasonable to expect in the next couple of quarters that the canal will become less efficient for VLGCs, because the demand for transits from LNG and containers will increase. So, as much as anyone can guess and it’s obviously very difficult to do. I don’t think that there is a cap necessarily on that and certainly not because of the terminal capacity.
Omar Nokta: Got it. Thanks. That’s quite helpful. Appreciate you saying that. And kind of on where we are in the marketplace, I guess we are at that time of year where U.S. LPG inventory starts to maybe level out after building for several months. Do you think that this winter, based off what you are seeing will bring that same type of seasonality where U.S. consumption raises, leads to higher prices domestically here, also putting pressure on the ARB and then impacting rates, or do you think something is different perhaps this winter, anything you can talk about there.
John Hadjipateras: The weather predictions have been sort of for colder winter here, so that should put a bit of pressure on the ARB. And so far, at least, they have been for a kind of moderate, more moderate winter in Asia. But just as this was revised for here, it can easily be revised for Asia too. So, it’s kind of betting on the weather, I think to a large extent, looking for the immediate-term. And that’s my feeling. I don’t know whether Tim could add a little more color being on the front lines of the market. Tim, you want to have a go at it?
Tim Hansen: Yes. I think as you said, the weather and the Panama Canal are really the two most important things. So, we haven’t – I mean we have a very warm weather in the East right now, so the urgency for stocking up for the winter have not really started yet, but that could change very quickly. I mean as you said, there was a prediction it was going to be warmer in the East than usual, but the latest we saw was another analyst saying that it was going to be colder. So again, the sentiment can change very quickly in the East. And when there is a pull on the on the East, the half will adjust itself to open that up even if the U.S. prices also go up. And we have seen big inventories in the U.S., so I don’t think that the U.S. prices will – there will not be no panic in the U.S. to withstand the exports. So, we expect maximum exports to the East still, and with the production sufficient product to satisfy the U.S. markets, or by the inland prices may make up a bit so. So, really the shipping market depends on the pull from the East, and especially the Panama Canal.
Omar Nokta: Okay. Thanks Tim. And then just the final one for me and Ted, I think you did mention it, but can you just remind or say it again, sorry. Just the bookings that have been covered thus far and then just what those referred to.
Tim Hansen: Yes. So, for this current quarter, the one ending December 31, ‘24, we estimate that we have fixed just over 60% of the available days and a TCE in excess of $40,000 per day. That’s only for the Helios Pool, and that includes both spot fixtures time charters and estimates for the COAs.
Omar Nokta: Okay. Perfect. Okay. Thanks Ted. Thanks guys. I will turn it over.
Tim Hansen: Thanks. Thanks Omar.
John Hadjipateras: Thank you, Omar.
Operator: Thank you. Our next question comes from Clement Mullins with Value Investors Edge. Please go ahead. Your line is open.
Clement Mullins: Good morning. Thank you for taking my questions. I wanted to start by asking about the year-to-date decline in exports from the Middle East. To what extent is that attributable to the oil output cuts, and should those be East, going forward, do you expect Middle Eastern volumes to increase?
John Hadjipateras: The answer to the last point, yes and yes, they do. The exports of LPG from the Middle East are very related to the output. So, when – what if OPEC plus increase then we expect, it’s not – so it’s not a perfect correlation, but there is an – all-in-all, it’s correlated. Sometimes there are some distortions that, like Saudi Arabia uses LPG internally and – but in general, we would expect if OPEC plus is the increase of production, their exports, then we would see more volume of the LPG also from the Middle East.
Clement Mullins: That’s helpful. Thank you. I also wanted to ask about the ammonia trade. It will still take a while for this trade to truly, let’s say, live up to expectations, but could you talk a bit about the timeline you see. When do you expect volumes to start to have a meaningful effect on the overall VLGC trade?
John Hadjipateras: So, it’s one of those things. The way I look at it is one of those things that’s long and coming and then comes suddenly. So, at the moment, we are not seeing as much as – as much development of green ammonia trade has had generally been expected by the industry, which caused this new building kind of surge in the last 12 months or so. But there is – there are prospects for it to develop. There are some projects that are already kind of be a little bit beyond the planning stage and there is more consideration of blue ammonia. So, I think that while at the moment, we don’t have anything that would kind of give us comfort that all the ammonia capable ships will be carrying ammonia. When they are delivered, I think when it happens, it could happen quickly enough to have a positive effect and absorb that tonnage. And that’s how we are looking at it at the moment.
Clement Mullins: Thanks for the color. That’s all from me. Thank you for taking my questions.
John Hadjipateras: Thank you for your questions.
Operator: Thank you. And this will conclude our Q&A session. I will now turn the call over to management for closing remarks.
John Hadjipateras: Yes. Well, my closing remark is to thank you all, have a – we are beginning to enter the holiday season, so hopefully higher freight rates and everybody have a good time and see you again in January.
Operator: Thank you. And this will conclude today’s call. Thank you all for your participation and you may disconnect at any time.